Operator: Good morning, ladies, and gentlemen, and welcome to the ARR Q4 and Year-End 2022 Conference Call and Webcast. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday March 2, 2023. And I would now like to turn the conference over to Flora Wood. Please go ahead.
Flora Wood: Thank you, Ina. Good morning, everyone, and welcome to our Q4 year-end call. Our press release and filings were released yesterday after the close and are available on our website. This event is being webcast live, and you'll be able to access a replay of the call along with the presentation slides on arr.energy. Brian Dalton, CEO of ARR; and Frank Getman, CEO of GBR are both speakers on the call. And in the Q&A, we'll also have Ben Lewis, CFO of ARR, available for questions. The forward-looking statement on slide two applies to everything we say both in our formal remarks and during the Q&A. And with that, I'll turn it over to Brian for his opening remarks.
Brian Dalton: Thank you, Flora, and thank you, everyone, for joining. As usual, I'll keep my remarks brief, high-level introductory style and let Frank take you through the real details. In general, I think it's finally safe to say that the adoption curve for royalty-based funding within the renewable sector with ARR and GBR as its proxy has hit that magical upward inflection point. There are, of course, many driving factors behind this, and Frank will overview some of these in these updates, but the plan is evidence is there in terms of the operational revenue trajectory. Which will continue for several years, just based upon already completed investments. Never mind the growing call of new opportunities that are landing in New Hampshire these days. Congratulations to the entire team for the truly remarkable achievement to taking this business from concept to reality, and for creating this exciting platform for future growth and enablement of the renewable energy era. Over to you, Frank.
Frank Getman: Great. Thank you, Brian. Fourth quarter was very busy for us at GBR, including two deals that we closed in December, capping off a transformative year for our company. The two new immediately cash-flowing royalty investments in operating projects we closed in December were first the Titan Solar deal. On December 1, we closed a $46 million royalty investment with Longroad Energy to support Longroad's acquisition of the 70-megawatt AC Titan Solar project in Imperial County, California. This was a significant transaction for us on several fronts. It was a follow-on, second investment with Longroad Energy, one of the best developers and operators in the market, it’s an operating project, so it was immediately cash flowing. It was a new use case for us where our royalty financing was used to help finance an acquisition funded at closing. And it was our first investment in California, adding regional diversification to our growing royalty portfolio. We expect the Titan royalty to contribute $3 million to $3.5 million to GBR's revenue in 2023 and to average $4 million to $4.5 million annually over the first 10-years. The second new deal on December 20, GBR acquired for $17.8 million and existing royalty on the 658-megawatt portion of a larger 1-gigawatt wind project in ERCOT, owned and operated by a top-tier renewables owner-operator that reached COD in September 2022. It's an interesting royalty in that it's entirely generation based, so there's no price risk whatsoever. Obviously, it makes it less risky, but it also reduces some of the potential upside. We wouldn't want all of our royalties to be structured like this, but it represents an attractive addition to our growing diversified portfolio of royalties. GBR expects this royalty to contribute $1.5 million in revenue in 2023. For all of 2022, GBR closed four new royalty deals, two new developer deals and two new operating project deals, totaling $136.5 million of new commitments, of which $86 million was funded in 2022. For the year, GBR reported revenue of $7.3 million, exceeding our already increased guidance of $6.5 million to $7 million. The outperformance was largely due to higher merchant power prices particularly during the summer of 2022. A majority of our current revenue is from royalties that are subject to merchant pricing. For 2023, GBR expects to realize annual royalty revenue of $11.5 million to $13.5 million based upon recent merchant price assumptions that reflect lower current natural gas prices and result in lower power prices in several key markets. GBR achieved positive operating cash flow for the full-year of $2.7 million, achieving a major milestone well ahead of what was forecast at the time of our IPO. We expect this trend of growing positive operating cash flow to continue in 2023, as we recently added two new operating royalties to our portfolio from our TGE and Apex developer deals. And expect to add another operating royalty from our developer pipeline, the El Sauz project, a 300-megawatt wind project in ERCOT in the near future. I'd like to provide a few comments about our strong embedded pipeline from our existing deals. I want to spend a few minutes to discuss the impressive backlog of embedded royalties that are already currently in our pipeline based upon investments and commitments we've already closed. Between our deals with TGE now Enbridge, Hodson and Nova Clean Energy, the U.S. subsidiary of BlueStar Energy. We have a pipeline of development-stage royalties of approximately 9-gigawatts of projects. This is our current product line, assuming no new deals, which based upon our current backlog of origination discussions is not a reasonable assumption. When this existing pipeline crystallizes into operating royalties over the coming years, the annual revenue to GBR is projected to be over $30 million from deals we've already closed, and assuming we're able to deploy the uncommitted cash on our balance sheet into new deals, we're looking at over $40 million in annual revenue. So we feel very good about the investments we've made to-date and our embedded pipeline for future growth. I'd like to touch on some current themes we're seeing in the evolving U.S. renewables landscape. The first, I'll call, strong IRA momentum and tailwinds, but not without some ongoing delays. The industry is experiencing strong momentum, especially since the IRA has provided a stable and transparent regulatory backdrop for renewables for the next decade, but interconnection issues, in particular, remain with both delays, larger deposits and higher costs. These delays can actually work in the favor of patient long-term capital like ours. Second theme is evolving business models. There is new and evolving corporate strategies and companies are emerging. There's been an evolution from some of the larger developing flip developers to what I'll call renewable IPPs where developers want to build and operate and realize the cash flow from operating projects, not just the proceeds from project sales. I think Apex, TGE and Longroad are all at various stages of this process. Mature developers with pipelines are now selling minority equity interest or the entire company rather than individual projects. There's also been a large influx of smaller and newer developers seeking start-up capital basically backfilling as the larger developers get acquired and consolidated, the demand for shovel-ready projects remains insatiable. Standalone storage as a distinct business model, the decrease in cost and increasing regulatory support for storage, which has resulted in an explosion of new storage projects and the emergence of stand-alone storage as a business. The next theme I'll mention is what I'll call merchant renewal. Sponsors are now seeking to boost equity returns through maximizing value of the renewable energy generated by the projects rather than trying to lock everything down, mitigate risk and use leverage to achieve satisfactory equity returns. There's the desire by sponsors and owners and an acceptance by tax equity for some merchant exposure in offtake structures. As we've discussed before, once you introduce merchant exposure, the debt sizing will likely come down and it creates a hole in the capital stack that GBR's Capital can nicely fill. There continues to be strong C&I demand for renewal energy, but sponsors are demanding higher PPA prices, there's also a desire to reduce or unwind some of these hedges, particularly those with shaped risk. The recent decline in natural gas prices makes the cost of unwinding these hedges potentially more attractive, so we've seen a flurry of activity in this area. I'd note that Longroad used part of our capital and its Titan acquisition to partially unwind the hedge that was in place. The next theme is the rising cost of capital. Higher interest rates and falling equity prices is creating increased demand for non-dilutive forms of financing. The levelized cost of energy for new renewable projects is increasing for the first time in many years, creating opportunities and needs and the need for new financing solutions. Higher debt cost means higher debt service and the need for larger project equity checks. Developers and sponsors are seeking to stretch equity dollars further. Also, we're seeing more of what we'll call the recycling of capital through minority sales of either individual projects or portfolios. It has emerged as a new corporate strategy to fund growth for larger IPPs, due to lack of low-cost financing options. GBR's royalty financing could be a great alternative to a minority sale to raise capital. Finally, I'd like to provide an outlook for Great Bay going forward, the adoption of royalty financing overall. The future has never looked brighter for Great Bay in our permanent non-dilutive, flexible partner-like royalty financing. The market is definitely moving in our direction. The themes I just mentioned are driving developers and sponsors to look for financing alternatives. We see significant opportunities to our royalty financing, both in earlier-stage developer deals, as well as operating stage immediately cash flow and royalties. Ray Faust, Josh Levine, Bill Rogers and new additions, Peter Leahey and Zach Farrar continue to do a fantastic job in identifying, negotiating, completing due diligence and closing new opportunities, as well as monitoring the progress of our growing portfolio of royalties. It's a major effort, and I'm so proud of the execution and professionalism of our team. This is an incredibly exciting time for Great Bay. We believe we are truly in the early innings of what is a tremendous market opportunity for the foreseeable future. That’s it for my update, and I'll turn it back to you, Brian.
Brian Dalton: Thank you, Frank. Nothing further from me. So I guess we can go to questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Rupert Merer from National Bank. Your line is now open.
Rupert Merer: Hi, good morning, everyone.
Frank Getman: Hi, Rupert.
Rupert Merer: So, you made a comment in your prepared remarks about the potential revenue run rate for the deals that have already closed at $30 million. And I believe $40 million if you deploy the cash in your balance sheet. Can you give me a little more color on these numbers? So what royalties are being included to build up to those?
Frank Getman: Sure. We don't know the exact, you know, which royalties, but it would be the names of the project, because we don't know which ones they're going to hit COD. But the way our deals work, as they go forward and they go into commercial operation, they continue to count towards that IRR, which is compounding. So, it's just going to be an ongoing streaming of new royalty projects over the next several years. I can't tell you exactly which project is going to be, but I can tell you that if you look at the -- we know the value of the royalties that we're owed. And we can project what we think the revenues will be from what we're owed. And if that occurs, that equates to, based on what we've already done to that $30-ish million, $30-plus million run rate. And then if we deploy the remaining our $50 million and the $50 million that would match from Apollo, that would move the royalty that run rate, assuming the similar return profile, which I believe is a reasonable assumption, that would move it up from the $30 million to the $40 million. Does that make sense?
Rupert Merer: Yes, yes. Great, thank you. Now since the Q3 report, the timing on many of the Enbridge wind and solar projects has been advanced or at least maybe it is a little more certain. It seems like you're anticipating quite a bit to be reaching COD in 2024. Now your disclosures talk about a commitment of $13 million into GBR this year. I don't believe that includes any investment into those Enbridge projects. But if they do come online in 2024, would you be putting capital to work with those Enbridge royalties this year? Or is that more -- or sorry, in 2024? Or is that more of a, say, 2025 event?
Frank Getman: We're still owed a number of royalties. So I think if you remember, the way the deal works with TGE now Enbridge, is we're still owed a number of royalties for the capital that we deploy. So there's still -- I don't think to 2024, we'll still be just getting ones that were owed from our original investment in our subsequent investments, our total investment into TGE. And then after that point, on the remaining portfolio, we'll have an option to acquire those when those hit COD. So it's going to be an ongoing free option for us to acquire those on attractive price moving forward after we get all the royalties that were owed for the investment we made. So I wouldn't expect that we would be needing to write any check of the royalties we get for the TGE projects through ‘24.
Rupert Merer: All right. Great. Then just a follow-up on that. So, given what you see today, what does your cash runway look like?
Frank Getman: Well, we have the -- I mean we have the $50 million, we'll have the -- on our balance sheet plus the $50 million from Apollo. So there's $100 million in deals plus the operating cash flow that we have. It's not massive right now, but it's increasing. So that's the pool of capital that we have immediately available.
Rupert Merer: Okay. And then how long could that last you given the pace of investment?
Frank Getman: Well [Technical Difficulty]
Brian Dalton: I can probably jump in here, well, Frank, you might need to reconnect. But -- look, we'd anticipate deploying all available capital that you can see today over the course of this year, if you look at just the run rate that we've had over the last couple of years. And a little bit of a sense of what the pipeline looks like. We're also out now and soliciting proposals from banks for different other forms of financing. And beyond that, I think you saw with the ARR bought deal in December that there is strong follow-on interest from major existing shareholders to continue to funds deployment [Technical Difficulty]. So the message that I think the major shareholders give to Frank and the team is get the deals and the money will be there. So -- it's really as far as I can go on right now.
Frank Getman: I'm sorry, I'm back now. I apologize my -- we have a bit of a storm here in New Hampshire today, and I think I got kicked off. But -- we are at the pump side. Thankfully Brian took over that for you.
Rupert Merer: He gave a very good answer. Thanks very much. Appreciate it.
Brian Dalton: Thanks, Rupert.
Operator: Thank you. And your next question comes from the line of Nick Boychuk from Cormark Securities. Please go ahead.
Nick Boychuk: Thanks. Good morning, gentlemen. Frank, you mentioned in your prepared remarks that the IRA's supporting the creation of new battery stand-alone storage systems in that whole business line. Can you give a little bit of color on the opportunities you're looking at there? And also whether or not any of the existing assets or partnerships have kind of indicated to you that they're considering adding battery energy storage systems?
Frank Getman: Yes. I think everybody is looking at it, both our existing investments, as well as there's new companies being said that they're doing only stand-alone battery storage. To be perfectly frank, it's one that we're working through and figuring out what is that does -- how would our royalty financing support that because to be perfectly candid, I'm a little concerned that if it was associated storage facilities as part of the wind and solar project, we can get our arms around that, it just increases the overall revenue for the project, which is great for us. On a stand-alone battery storage project, we've got to figure out how do we value that and look at that future, because many of these stand-alone projects are being proposed based upon an arbitrage opportunity where they're going -- there's some because of constraints in the system that there is some arbitrage to be able to charge them at one price and then discharge them at a higher price. And it's like trading shops and the like that are pursuing some of these opportunities. And I'm not sure a royalty on that. I think markets work over time. And I'd be a little concerned about the long-term value of that royalty. But there is also plenty of battery storage projects that are being arrange with tolling arrangements with some exposure to the revenue generated, but there's more like a capacity payment. And those might make a lot more sense for our royalty financing. So, it's very project specific. So, it's -- and the market is figuring this out in real time. In many ways, storage in some locations should really be considered more transmission than generation. But there's not a great -- the regulatory framework for how you exactly get paid for storage hasn't been fully figured out yet.
Nick Boychuk: Got it. Okay, it’s a very good color. Thanks. And then just regarding your commentary about how there's still the interconnection delays and everything else that's playing out. Can you give any update on how things are going with Nova and Hodson, are there projects continuing to progress?
Frank Getman: Yes. Well, first Nova is -- yes, there's Nova's building up. I think when Declan started, Nova, he was hoping that maybe there'd be some M&A acquisitions opportunities well. The pricing seems very high, so they have really kind of double down or focusing on the greenfield development, which has built a very strong team. He's brought in a very talented team along with him to do that. So they're -- right now, they're finding the best and highest opportunities in greenfield development in the U.S., which is great. And then on Hodson continues to advance this project. They're adding new projects as well, which is part of our deal. We will get those as part of our overall collateral, so to speak. And there's still -- there's things like -- and many of the projects are in PJM, there's been now PJM, no process has been disclosed and approved by FERC, the interconnection to the revised interconnection process, so there's much better transparency there. It may not be the time line that everyone was hoping for, it’s a fairly new projects today are pushed. We had a new project today in PJM, it's probably going to be 2027 before you get through the intersection process. Thankfully, Hodson's project are already in the queue. So, I think the type of capital that's open to support the developers pursuing these projects, if you're a fun with a defined life or a short time horizon, that's not going to be a great opportunity for you. But for someone like ourselves where our capital is compounding while that work is ongoing. And we have a taking a longer-term perspective, we're going to earn our return for the life of the project once it's in operation, I think that's driving folks toward capital at ours and away from shorter term, folks that can get paid back in three to five years.
Nick Boychuk: Got it. And last one for me, just shifting to more about operating stage stuff. After having the follow-on deals with Longroad, are you guys starting to see any change in the velocity of inbounds, people taking notice of what you've done with them and we are now looking -- can you share any color on that?
Frank Getman: Yes, definitely. Across the board, we're seeing increased activity, both on the developer front, both on operating projects. Folks took notice that our capital was used to partially unwind the hedge that was in place a bit longer ahead, so there's strong activity on all fronts right now. And Zach is doing a great job helping organize us, because we're much more organized on the front-end now with him coming on board and helping run that origination business than we were previously.
Nick Boychuk: Got it. Alright, thank you very much.
Operator: Thank you. [Operator Instructions] And your next question comes from the line of John Mould from TD Securities. Please go ahead.
John Mould: Thank you. Good morning. Maybe just turning back to the Enbridge pipeline and the increased number of ‘24 and ‘25 CODs. You guys know this pipeline very well. Do you see those COD targets as achievable based on the permitting and interconnect position? And was all that this pipeline needed to really get it moving was the involvement of someone with a deeper balance sheet like Enbridge?
Frank Getman: It's very RTO specific in which projects you're talking about, because in PJM, having a bigger balance sheet is going to force it faster. It is what it is, and that's the process. But there are deals like SPP, for example, where TGE had a number of projects that just needed someone to write it was $20-plus million check for the interconnection deposits and Enbridge has done that. So now those projects are advancing where in TGE's hands, they were -- they didn't have the capital to be able to do that. So that's a specific example we're having Enbridge involved is accelerating the time lines. But in other regions, okay, there's delays, there's delays for everybody.
John Mould: Right. No, fair enough. Okay, that's helpful for regional context. And then maybe just circling back on the revenue run rate numbers. I just want to be clear that, that $41 million levelized number, that does not include the Enbridge projects beyond what's required to get to your return in the original TGE deal, because you would have to contribute more capital for those. Is that’s correct, right?
Frank Getman: Correct.
John Mould: Okay.
Frank Getman: Yes.
John Mould: Okay, great. And then maybe just a little more context on the Hodson timing. It looks from your contractual disclosures in the MD&A, like expected deployments now little more weighted towards 2023 versus ‘24 and ‘25 as of last quarter. Is your expectation that development and the milestone progress is accelerating a little bit there relative to what you were really anticipating?
Frank Getman: They have a couple of fast-track projects in PJM, which are hopefully moving forward, that will be the first through the Q process, which is great and hopefully, we'll get to commercialization sooner rather than later. And then what you're seeing also is that they have new origination in regions other than PJM around the country, and I don't want to get into specifics there. I think that's competitive to them. But they're seeing some strong new origination progress, which is great to see and there's associated costs with that. But yes, the milestones work, if they can accelerate and move things on quicker that's great, that unlocks the next tranches quicker.
John Mould: Okay. Thanks for that and then maybe one just final one on just how you're thinking about development portfolios more broadly. You've talked before about how PJM -- maybe people will like what's happening there in the interconnection process, but at least there's a plan and a path forward versus maybe some other markets. That problem could bubble up. As you're considering developer investments, is there a region of the country where you're hoping to get a little more exposure relative to what your portfolio looks like today? Or is that really a smaller part of the process, and the team and what they bring to the table remains the main driver of higher looking at investments?
Frank Getman: The main driver is always the team, right, because it doesn't matter what country -- what jurisdiction or in the -- a good team, there's a reason that good developers, they're serially successful. It is an art, not a science. And people with that commercial mindset and that savviness just are -- tend to be successful again and again. So, it's always team first. But I will say the issue on the other reasons the diversification in other regions is kind of happening naturally. It is interesting. So we're seeing a lot more activity in the western regions of the country just because they even some interest down in the Southeast, which we had seen previously. So I think particularly with the visibility now that people have with the IRA, I think it's really unlocking really all the reasons of the country where before it was like, okay, let's do ERCOT, PJM and well California had been done had -- was the first to go. So I think it's -- the market is kind of taking care of that on itself. We are not actively saying we're going to go look for a WEC developer, but we're seeing the developers have more early-stage projects in WEC, for example.
John Mould: Okay, that’s helpful color. I’ll leave it there. Thank you very much.
Operator: Thank you. There are no further questions at this time, please proceed.
Flora Wood: Thank you, Ina, and thank you, everybody, who joined the call. Thank you for the questions, and we look forward to speaking to you after our Q1 results.
Brian Dalton: Thank you, everyone. Great questions.
Frank Getman: Thank you.
Operator: Thank you. That does conclude our conference for today. Thank you all for participating. You may now disconnect.